Unknown Executive: Ladies and gentlemen, it's time to begin our earnings announcement session for the first quarter of fiscal 2019. I'd like to introduce our speakers, Senior Executive Vice President and Chief Financial Officer, Hiroki Totoki; Senior Vice President and Senior General Manager of Finance Department and Corporate Planning, Naomi Matsuoka; and VP, Senior General Manager, Global Accounting Division, Hirotoshi Korenaga. 
 Today, Mr. Totoki will make the presentations, and then it will be followed by question and answers. And all together, we plan to spend 45 minutes.
 Mr. Totoki, please. 
Hiroki Totoki: Today, I would like to explain 2 topics in the next 15 minutes. 
 Fiscal '19 Q1 consolidated sales decreased 1% year-on-year to JPY 1,925.7 billion, and operating income increased JPY 35.9 billion year-on-year to JPY 230.9 billion. Operating income reached a record high for the first quarter.  
 Net income attributable to Sony Corporation's stockholders decreased JPY 74.3 billion year-on-year to JPY 152.1 billion. As shown on this slide, certain extraordinary items were recorded in both the current quarter and the same quarter of the previous fiscal year. Excluding these extraordinary items and the estimated impact on these items on the tax expenses, net income would have increased JPY 5.6 billion from the JPY 140.8 billion of the previous year to JPY 146.4 billion. Please refer to Page 6 of our earnings presentation for the calculation impact on tax expenses.
 This slide shows the results by segment. And from this quarter, we have changed the name of the Semiconductors segment to Imaging & Sensing Solutions. I will explain the background and reasoning behind this change when I explain the results of this segment. This change has not resulted in any reclassification businesses across segments.
 Next is the consolidated results forecast for fiscal '19. Consolidated sales were -- are expected to decrease JPY 200 billion compared with the previous forecast to JPY 8.600 trillion as a result of the reduction in the forecast for G&NS and EP&S segments. There is no change to the forecast for operating income, income before income taxes and net income attributable to shareholders. There is also no change to our forecast for operating cash flow excluding the Financial Services segment. 
 We have changed the assumed ForEx assumption from the second quarter, JPY 108 to the U.S. dollars and JPY 123 to EUR 1. We plan to issue an interim dividend of JPY 20 per share this fiscal year compared to JPY 15 per share for the interim dividend previous year. Dividend amount for the full year is currently undecided, but there is no change to our policy of continuing to increase our dividend in a stable manner over the long term. 
 This shows a segment forecast. And we are monitoring developments and are paying close attention to the geopolitical risks such as trade issues. And we are looking into various mitigation measures in far advanced timing not to be delayed. We have incorporated into our forecast the impact of additional tariffs and export restriction that have already been implemented or the implementation be decided. We have not incorporated the impact of the items we have -- which we have yet to be implemented such as List 4 of Section 301 of the U.S. Trade Act. Going forward, we will aim to reduce the impact on our business by quickly taking any action as necessary.
 Now let me talk about business segment. First, Game & Network Services. First, although PlayStation 4 hardware sales and network service sales including sales of PlayStation Plus increased year-on-year, overall segment sales decreased 3% to JPY 457.5 billion due to decrease in game software sales. Operating income decreased JPY 9.6 billion year-on-year to JPY 73.8 billion. This decrease was primarily due to the decrease in contribution from the first-party game software compared with the same quarter the previous year in which God of War was a major hit. We have revised downward our forecast for fiscal '19 sales by JPY 100 billion to JPY 2.200 trillion. We have not changed the operating income forecast, and that's JPY 280 billion.
 PS4 hardware unit sales in the first quarter was slightly below our expectation because of the news regarding our next-generation consoles. And we have reduced the annual sales forecast by 1 million units to 15 million units. 3.2 million units were sold during the current quarter, essentially unchanged year-on-year. And we have reached the 100 million cumulative units on a shipment basis. The fact that we plan to sell 15 million units in this fiscal year, the seventh year since launch, demonstrates that PS4 platform is still garnering support from many users. We have revised downward our forecast for game software sales to be flat year-on-year due to a decrease in third-party game software especially free-to-play games.
 We expect Network Services sales to be above the previous fiscal year. The goals for this segment this fiscal year are preparing for the launch of the next-generation platform as well as maintaining and expanding the community we have built among users. As of the first quarter, we are on track to achieve these goals.Next, explaining about the Music segment. The first quarter sales increased 11% year-on-year to JPY 202.3 billion. This significant increase was mainly due to higher sales for Music Publishing resulting from the consolidation of EMI Music Publishing as well as higher streaming revenues partially offset though by lower Visual Media and Platforms sales mainly caused by lower sales of Fate/Grand Order, a game application for mobile devices. Streaming revenues in the Recorded Music business grew 27% from last year mainly due to expansion of the market and contribution from releases such as Lil Nas X's Old Town Road, which is expected to be one of the biggest hit songs of the year. Operating income increased JPY 6.2 billion year-on-year to JPY 38.3 billion. We have made no changes to our April forecast for sales and operating income full year.
 Next, about Pictures segment. The first quarter sales increased 6% from last year to JPY 186.1 billion. An operating profit of JPY 0.4 billion was recorded compared to a loss of JPY 7.6 billion in the same quarter of the previous year. Primarily due to the timing of motion picture releases, this segment has recorded a loss in the first quarter repeatedly in the past, but this quarter, it recorded profit for the first time in 5 years. Although marketing expenses were incurred for Spider-Man: Far From Home, which was released at the end of June, our profitability continues to improve due to our channel portfolio review in Media Networks and other efforts. We have made no change to our April forecast for sales and operating income. Spider-Man: Far From Home has exceeded USD 1 billion of revenue at the global box office, surpassing Jumanji: Welcome to the Jungle to become Sony Pictures Entertainment's highest-grossing, wholly-owned film of all time. Due to the timing of its release, the film will not contribute significantly to our financial results until the second quarter and beyond.
 Next is EP&S segment. From this quarter, this segment includes what were the Home Entertainment & Sound, Imaging Products & Solutions and Mobile Communications segments. But we continue to disclose the same product category sales that we disclosed in the past in our supplemental information. Primarily due to a decrease in unit sales of TVs and smartphones, sales decreased 15% to JPY 483.9 billion compared to the previous year, and operating income decreased JPY 7.6 billion year-on-year to JPY 25.1 billion due to the decrease in sales and the negative impact of foreign exchange rates partially offset by a reduction in the operating expenses in Mobile Communications. Due to a reduction in the unit sales forecast for TVs and smartphones, our sales forecast has been changed to JPY 2.160 trillion, but we have made no changes to our April forecast for operating income despite the decrease in sales due to a reduction in operating expenses.  
 Next, I will touch on the TV business. Primarily due to the intensified price competition and lower demand compared to the prior year when we benefited from the World Cup mainly in Europe and Latin America, TV unit sales in the current quarter decreased about 23% year-on-year. Thanks to the actions we have taken such as launch of new products and price reductions, sales have recovered since June, but we continue to pay close attention to changes in the market for panels and trends of competitor pricing. And here, I'm showing the new key products we have announced or put on sales -- put on sale recently. All of them have received positive feedback from a lot of our customers. 
 Next is the Imaging & Sensing Solutions segment. The first quarter sales increased 14% year-on-year to JPY 230.7 billion, and operating income increased JPY 20.4 billion to JPY 49.5 billion mainly due to a significant increase in image sensors sales for mobile devices. Demand for our image sensors continues to be strong, and our market share of image sensors for midrange and high-end models of major smartphone makers remained high due to adoption of multiple sensors per camera and growing demand for high value-added sensors made using large die-sizes. And we are currently utilizing 100% of our internal capacity.
 However, concerns about the impact of trade issues in the second half of the fiscal year remain. We have already been conservative when forecasting the impact of these issues. But because we want to evaluate the risk over the course of the first half of the fiscal year, we have as yet made no changes to our April forecast.
 Now I would like to explain the background and reasoning behind the change in name of the segment. The portion of Semiconductors segment revenue that comes from image sensors has been increasing every year and is expected to be approximately 85% of the segment this fiscal year and is expected to increase even more going forward. Image sensors are hybrids between analog and digital semiconductors and, in terms of technology and business model, differ from logic-LSI and memory, which most people think of what they hear the word semiconductors. Compared with logic-LSI and memory, which require frequent capacity upgrades to maintain competitiveness due to quickly evolving process miniaturization, image sensors do not require regular large capital investments because products can be differentiated through improvements in functionality and the addition of new features without having to upgrade production capacity.
 Moreover, since the image sensors business is focused on custom products that are differentiated through features and functionality and because we have expanded our customer base the last several years and obtained a large share of market, we have established a business model that experiences less impact from fluctuations in the market known as a silicon cycle. Over the last 10 years, we have achieved an extremely high level of compound annual sales growth at 17%, primarily from smartphone applications, and we have made significant investments to increase capacity as a result. However, we expect the investment requirements of this business to decrease significantly as the acute increase in demand transitions to a milder growth trajectory. The strategy for future growth in the I&SS segment is to develop AI sensors which make our sensors more intelligent by combining artificial intelligence with the sensors themselves. Developments of these sensors will require us to leverage not only the strength of the hardware technology in the I&SS segment such as stacking of sensors on logic and copper-to-copper connections but also the AI technology and diverse application technology in other parts of Sony. So our efforts in this area would span the entire Sony Group. We think that AI and sensing will be used across a wide range of applications such as autonomous driving, IoT, games and immersive entertainment. As such, we think there is a possibility that image sensors will evolve from the hardware they are today to solutions and platforms as visual data and sensing information is processed in a sophisticated manner inside sensors.  
 The image sensor business is important because it is one of the pillars of the growth strategy of Sony Group. We changed the name of the segment this time to assist your understanding of the characteristics and future strategy of this business which I just explained.
 Next, I would like to explain about the Financial Services segment. In the first quarter, Financial Service revenue was essentially flat year-on-year at JPY 336.9 billion, and operating income increased JPY 5.5 billion year-on-year to JPY 46.1 billion. We have made no changes to our April forecast for our Financial Services revenue and operating income.  
 Next, I will discuss the new structure of the Board of Directors at Sony Financial Holdings, SFH. The new Board of Directors, which was formed at the Ordinary General Meeting of Shareholders this past June, is primarily comprised of external directors and members of management from Sony Corporation. Sony believes that this new structure will strengthen the governance of SFH and promote even greater focus on increasing shareholder value. The presidents of Sony Life, Sony Assurance and Sony Bank, who each concurrently served on the Board of Directors of SFH in the past, would dedicate themselves to managing each of their business going forward and will concentrate on growing their businesses and strengthening their competitiveness. Sony will deepen its collaboration with the management team of SFH and proactively worked to increase the value of our financial services business even more so than in the past.
 In conclusion, I'd like to explain the efforts we're making to increase corporate value. In our first midrange plan, which began in the fiscal year ended March 31, 2013, we restructured our businesses and strengthened our profitability and cash generation. This resulted in cash -- in each of our business attaining high level of competitiveness and a steady level of profit and cash flow. 
 As President Yoshida explained at the Corporate Strategy Meeting in May, Sony now needs to take steps to grow its various businesses while creating synergy across our businesses. Sony will aim to do this by leveraging the diversity in each of our business in the entertainment, electronics and DTC services, which includes financial services arenas. Technology is what supports the growth of these businesses and create synergy across businesses. This is what makes Sony unique and strong. We aim to increase our corporate value in a sustained manner over the long term by further growing Sony as a creative entertainment company with a solid foundation in technology. Lastly, I would again show the results forecast for each of our segments. This concludes my remarks. 
Unknown Executive: Now the floor is open to your questions. When you have questions, please wait for the microphone and identify yourself by stating your name and affiliation. When questions are asked in English, there will be a consecutive interpretation into Japanese, and answers will be given in Japanese. Please confine the number of questions to 2 per person. 
Masahiro Ono: Ono of Morgan Stanley. Two questions. The first point, concerning Imaging & Sensing Solution, Semiconductor, you have recorded a high growth this time. Especially in image sensors, the sales increased by more than 20%. My question is that in terms of volume and price, how is the actual picture, and what's the background to this? 
 And the second point, on year-on-year basis, the Game compared to the strong first-party sales, the decline in sales, but you have achieved good results, so to say. And you have been talking about the increase in the development costs for the next-generation console in slightly excess of 3 -- JPY 30 billion. And how is it incorporated in the first quarter results? And when you compare the first half and second half, what would be the impact? 
Hiroki Totoki: The first, on I&SS, true on a year-on-year basis, for the first quarter, the results were very good. And when analyzing in terms of unit price and volume, for unit price, improvement of the product mix, and so all in all, we have maintained a good unit price. And especially 0.8 micron and 45 mega, the volume -- demand is good and improving. And about the volume, especially the volume to the Chinese customers increased. And the background is that in a market, the multi-sensor camera is increasing. And also, the customers' smartphone production shifted to a flagship model with multiple number of cameras. And also partly as a countermeasure against the U.S. export restriction, there may be advanced procurement.  
 Next, on Game, on year-on-year basis, on our part, we take a rather positive look. That is decline in the sales of software. In the course of first quarter last year, there was a major hit of God of War and Detroit, the first party. And this time, title is weaker, and so we thought there may be a decrease, and so it is as expected.  
 And about the impact of development expense, very difficult -- we do not talk about first half and second half, but the things are going as we expected for the time being. And also concerning hardware, for a full year, we said the 16 million and revised downward to 15 million. But the first quarter, 3.2 million unit, the same as the first quarter of the previous fiscal year. And we view -- we watched the trend of computers in the industry, and we thought there may be some downward trend, but the situation was maintained. And we have provided some information about next-generation console, so we do not force the sales expansion of the current console but achieve profit and make a shift -- a smooth shift. And we will maintain the profitability forecast. 
Kota Ezawa: Ezawa, Citigroup Securities. Two questions, please. Firstly, the others segment's profitability, JPY 400 million, it is not significantly negative. In other word, it's improving [ compared ] over the last year. Why? So for the full year, negative JPY 6 billion, you haven't change that. Why is that? Will there be any specific reason in the second quarter for this large negative figure?  
 And the second question, the request from investors concerning changing independent structure, in other word, suggesting a spinning-off of the Semiconductors or divesting of the Financial Services, I think you've received such proposals from investors. Now -- and today, in remarks by Mr. Totoki, I would say that what you said today included answers to those questions, but can you formally and clearly make some remarks in response to those requests by investors? 
Hiroki Totoki: First of all, the others segment, because of the license agreement, patent royalty revenues were there. But because we have parties to speak off, we like to refrain from disclosing details. But please understand that there was a royalty payment. But offsetting that, your question was whether there'll be a negative factor in the second half. Nothing planned, but we are still in the first quarter. So all in all, instead of getting changes, we decided to maintain the current full year forecasts without any changes.  
 Now the second question concerning our business portfolio, let me state my conclusions first. Whether my speech today included the answers to those proposals, not specifically. Our view and policy on our business was, shall I say, restated today with my remarks, now it's true that there has been proposals from investors. Whatever proposals we receive, we examine them very carefully and in depth sincerely. That's the position basically of the management team as well as the Board of the company. And it's true that we have received concrete proposals, so we are conducting in-depth examinations and thinking about those proposals currently. But beyond that, please allow me to refrain from making other comments. 
Yu Okazaki: Okazaki from Nomura Securities. My question is about the fixed cost for Semiconductors. You said that the revenue would increase, but so would the fixed costs, therefore, the profit would not increase. But the first quarter saw the increase of operating profit, so has there been any different pattern in terms of the fixed costs?
  Another is the EP&S. Mobile Communications improved, but TV apparently has deteriorated. You have mentioned this slightly, but can you talk about the background excluding Mobile Communication? 
Hiroki Totoki: Thank you. As far as the sensors is concerned, I think your question is about fixed costs, how we recognize fixed cost. There has been increase in operating profit of JPY 20 billion, a major increase. This is due primarily to the increase of volume. But there has been fluctuations, changes in the inventory, therefore, there has been the operating cost fluctuations. Depreciation and increase of R&D costs have been recognized. This is as planned. But beyond that, I think we have enjoyed the increase of revenue.  
 EP&S, as for the Mobile Communication, the first quarter, yes, the bottom line has improved. If you do the reverse calculation, you would note that TV was a poor performer. But if you look at the overall direction, TV first quarter, both the top line and bottom line declined. This is because the volume has declined. It was 2.6 million during the previous year. The first quarter, there was a 23% reduction, 2 million. And also, there was a ForEx negative impact. Audio/Visuals, there has been some decline in the sales revenues, but operating profit remained flat versus the last year. The sales mix has changed slightly. Headphones did quite well. Digital imaging, both the revenue and the operating profit declined not in any significant way. Digital cameras, consumer camcorders saw some declines. Operating profit, the product mix has improved, but it was affected by the foreign exchange market and the decline in the volume. But as far as Digital Imaging is concerned, we believe that we'll be able to launch some very attractive strong products, and we have hopes and expectations on those products. Professional Solutions, it has been affected by the deterioration of the market environment in China. So that's how we see the overall situation. 
Unknown Analyst: [ Katada of Nikko ]. Semiconductors segment and also cash flow. The first quarter, the full capacity operation. And what is the state of operation in the second quarter and your plan? That's the first point.
 And the second point, in connection with that, the operating cash flow -- or excuse me, the CapEx -- concerning CapEx, you mentioned that there'll be increased investment which is included in MRP. And the report goes that you have already looked into the land or real estate. What is the update of the progress of midterm investment including cash flow side? 
Hiroki Totoki: Thank you. About the image sensors capacity and the input, Mr. Korenaga? 
Hirotoshi Korenaga: The capacity installed and the input, the first quarter, 100,000 production capacity, and the actual input operation was 100,000 full operation. And the second quarter, about the capacity, 105,000. That's our forecast in accordance with our original plan. And then the actual production, in 105,000 so full capacity operation. 
Hiroki Totoki: Next, about the CapEx and including the new building and any changes or update, from fiscal '18 to '20, the cumulative investment in existing building is JPY 600 billion and no change. And for new building, decision has not been taken yet. But in the course of this year, looking at the demand for fiscal 2021 onward, we like to take the decision.  And in terms of the capacity, the end of fiscal 2020 on outlook basis, we like to increase to about 130,000. And this plan remains unchanged.  About the cash flow, the operating cash flow forecast for the current fiscal year is JPY 760 billion, and this forecast remains unchanged. And so there's no plan of changing the cash flow picture. 
Mika Nishimura: Nishimura, Crédit Suisse Securities. Firstly, about Game business, in your presentation earlier, you talked about weakness of the third-party software particularly free-to-play titles. Can you give us more details what is the current situation? Also, are we going to address these risks toward the second half of the year?  
 And my second question is about Sony Financials, Financial Services. Thank you for your explanation earlier, and you have been more deeply involved in the management of the Financial Services operations more so than before. A while ago, I think you said that you might pursue synergy with the Sony Corporation. And as a matter of fact, the results have not been visible so far, but what is the current situation and current view by more deeply being engaged in the management of the operations? How are you going to contribute to the growth of the business segment? 
Hiroki Totoki: Your first point, you're right, as you say, as far as the first quarter is concerned, the first party for the games were basically -- the results were basically as we expected, and we have not changed our assumptions going forward. But for the add-on and free-to-play titles, there's a -- it was significant if you compare to our expectations. Particularly free-to-play titles, the revenues are significantly lower, therefore, we've downward -- revised downward our forecast.  
 And also another point is about PS Plus. I think you are highly interested in PS Plus sales compared to March end, and the number of subscribers is down a bit. But basically, it's been expected. And so for the full year, we expect the segment to grow moderately. So having all these factors all together, we've come up with the current forecast.  
 Risks toward the second half, no outstanding risks observable and incorporated in our forecast, not yet. But to observe geopolitical risk as well as actual sales situation, we do so very carefully. But Sony Financial Holdings, SFH, yes, it's formed and first in association with the Sony Corporation, but the companies under SFH holding structure, by us getting more deeply involved in operations of these companies, we should be able to contribute to the improvement to the value of these 3 companies. That's our thinking now. But as to the concrete details of our engagement, I'd like to refrain from commenting on that. But to our participation in the Board structure, we'd like to be more engaged in their operations. 
Yasuo Nakane: Nakane from Mizuho Securities. I have 2 questions. What has been the impact of earthquakes on Semiconductor, the earthquake in June, the sales, the inventory and operating margin?  
 And also, you have the geographic breakdown of the sales on supplement Page 4. And I'm looking at this hard -- if you break it into hardware and nonhardware, United States, Europe and Asia, has there been any changes since February and March? Have you learned or have you come to be aware of something different as compared to February and March? And is there anything that we should be aware of? 
Hiroki Totoki: Are you talking about the demand trend by regions? 
Yasuo Nakane: You talked about hardware, software services. You're one of the rare companies that cover both aspects. 
Hiroki Totoki: So you're talking about the overall Sony? 
Yasuo Nakane: Yes. Can you separate the hardware and nonhardware? 
Hiroki Totoki: Yes. Thank you. Let me start with the -- whether there has been any impact of earthquake. I think you are referring to the Yamagata earthquake. Human, physical, there has not been any significant adverse impact. Yamagata stopped the operation for their security and safety, but it has been resumed. And there has been the product in process, but the impact has been minimal even if we had stopped the operation for a short period of time. Now about geographical breakdown, let me go one by one. It's the United States that have increased year-on-year. Music and Pictures increased their revenue. China Semiconductor has registered increase of sales. Now to the contrary, Asia Pacific, Europe and others, Electronic Products & Services have seen the decline. In emerging market, other than China, Asia Pacific and other areas reduction surpassed that of the increase of China, therefore, in net basis, it was a negative. The emerging market sales, the first quarter was JPY 500.2 billion, which is a minus of 28.29% mainly due to the ForEx. 
Masaru Sugiyama: Sugiyama of Goldman Sachs. Two questions. What is the details of the change of forecast in Game business? And the sales was revised downward by JPY 100 billion. That is affected by the hardware sales. But what about the exchange rate change and a reduction in sales, but the profit remains unchanged. Are there any change in profitability or the expense and cost?  
 Second point on Pictures. The marketing expense of Spider-Man, including that, the positive turnaround was made, and also the film cost increased. The Motion Pictures production cost has increased according to supplemental information based -- is it based on the success of Spider-Man, or has it been planned previously? Especially in Pictures business, are there any changes, or is there any upside potential for the profit? 
Hiroki Totoki: First, concerning Game, ForEx impact is there, and the sales unit declined, and free-to-play declined and that would hit -- should hit the profit. That may be the appropriate question. But to those changes, the management sensitivity is to cover that by better operation, and there is flexibility of organization to incorporate that. More specifically, when we think of the weaker demand for hardware, then the change in promotion and also to reduce the OpEx to achieve a bit the profit. And so for the profit forecast, including a partial reduction of expense, we've come up with what we have shown to you.  
 And about the Pictures segment, upside potential whether there is there, in terms of risks and opportunities, we think opportunities are larger, but we have only passed the first quarter. And if -- when we have a release of major tentpole titles going forward, and just the first quarter is ended, so rather than changing the sales forecast, we think we should maintain that now. And whether there has been any change in sales and profit? As you know, last year, in the Media Network, there was a substantial restructuring spending, JPY 11 billion. So this time, we are feeling the results of it in terms of the performance. And the performance in India was better than we expected. In addition to that, the entity like Funimation, which is the distribution of animation, we see the increase in subscribers, and we enjoyed the growth. So all these combined reflecting on the results we forecasted. 
Unknown Executive: We are short of time, so the next one will have to be the last question. 
Mikio Hirakawa: Hirakawa, Merrill Lynch. I have 2 questions, please. Firstly, image sensors -- about image sensors. Earlier, you're talking about smartphone makers in China, so the environment is fluid. Compared to the beginning of the year and currently, image sensors demand for smartphones, will it change your view? And also will there be any factors that will change your views going forward? 
 Secondly, so a microscopic sort of question. Mr. Totoki, you talked about Level 4 if the tariff is actually introduced. What will be the impact on your results or your thought on that currently? I'd like to get your view on that. 
Hiroki Totoki: First of all, about our sensor business and compared to our original top of the year expectations. How do stand currently or at the beginning of the year? The smartphone market in China will become more larger in size and also will use multiple lenses. That was the expectation. But at that time, looking at the demand for fiscal year '19, we were very conservative. But the actual demand for the first quarter is very strong, and we believe the strength will continue in the second quarter. And also pinning my point, there'll be some advance of carry forward of the business, and so that's why we've kept our full year forecast intact without any change.  And also use of multiple lenses in each camera and also larger die-size, the demand for that is faster and much larger, much more significant than we'd expected. So the demand is very strong, and that situation remains unchanged. And the trade friction between United States and China, possible introduction of Level 4 tariffs, Ms. Matsuoka will answer that question. 
Naomi Matsuoka: Well, supposing, hypothetically, the Level 4 tariffs actually decided, so this is based on the assumption that it will take place, up to the -- it'd be up to the timing of that as well as the specific conditions attached. But supposing -- and we are not currently assuming that, but if this is actually invoked, what will be the impact? What we are foreseeing is that in Game & Network Services, hardware business will be affected. Also in EP&S, the camera business or audio/video devices and projectors will probably suffer. But higher tariffs on these products will actually impact distribution and employment, and consumers in the United States will be a negative for the U.S. economy as such. So our subsidiary are working with the industry associations and government associations, approaching the government. We have sent the opinion leaders to the government. And as of now, we are, of course, contemplating actions based on the potential list for Level 4 and for all the products affected, for instance, the changing of the production sites or passing through of the prices to the market or changing the continuous sales structure. So we are considering risk ahead of the current actions if this happens. And once the decision is made to introduce Level 4, all the contributing actions will be put to force to mitigate the negative impact. So if it happens, the impact on operating profit, we should be able to contain that to 2-digit oku yen. 
Unknown Executive: With that, we'd like to conclude our session for today, and thank you very much for your participation.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]